Operator: Thank you for standing by. This is the conference operator. Welcome to the K92 Mining 2025 Third Quarter Financial Results Conference Call. [Operator Instructions] And the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to David Medilek, President and COO. Please go ahead.
David Medilek: Thank you, operator, and thanks, everyone, for attending K92 Mining's 2025 Third Quarter Financial Results Conference Call. We hope you and your families are doing well. In addition to myself, we have on the line John Lewins, Chief Executive Officer and Director, and Justin Blanchet, Chief Financial Officer. I would also like to remind everyone that after the remarks from management, the call will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes and risk disclosure in our MD&A and Slide 2 of the webcast presentation. Also, please bear in mind that all dollar amounts mentioned in the conference call are in United States dollars unless otherwise noted. Now I'll turn it over to John to provide you with an overview.
John Lewins: Well, thank you, David, and welcome, everyone. We begin with safety, K92's highest priority. I'm very pleased to share that the company recorded no lost time injuries during the third quarter, marking 9 consecutive LTI-free quarters, a notable achievement as activity levels continue to increase with the advancement of our Stage 3 Expansion. Over the last 2 years, there's been a substantial increase in field-level risk assessments, hazard identifications, safety observations, safety technologies and safety team capacity and capabilities, all strong leading indicators of a strong safety culture. Safety always is one of K92's core values, and we remain steadfast in our commitment to achieving our ultimate goal of zero harm across our workforce. Subsequent to the end of the quarter, the company achieved a major milestone with the official inauguration of our Stage 3 Expansion process plant on September 16 and the first production of our saleable concentrate. The event was attended by the Prime Minister of Papua New Guinea, the Honorable James Marape; the Minister for Mining, the Honorable Rainbo Paita as shown in the photo; other distinguished government representatives, landowners, members of diplomatic and business community and the K92 Board and project partners. The process plant was delivered safely, efficiently and under budget, making a major achievement for the construction team. The Prime Minister and the Minister for Mining also attended a gold pour at the new process plant as shown in the accompanying video. Additionally, they conducted a helicopter tour of the mine site and regional exploration areas as well as an underground tour showcasing several completed major infrastructure upgrades, including the twin incline and material pass, which, of course, are key enablers for our Stage 3 Expansion. In August, we're also honored to host a delegation led by the Mining Minister, the Honorable Rainbo Paita. The in-depth visit showcased the company's key Stage 3 Expansion growth projects, ongoing exploration activities and progress on the Konkua-Bilimoia Road Infrastructure Tax Credit Scheme project as well as productive discussions with local community business leaders. K92 remains committed to transparent engagement and open dialogue with all of our key stakeholders. We truly appreciate the support from our stakeholders, which have been a major factor in our success. Now moving on to operations, during the quarter, the Kainantu Gold Mine produced 44,323 ounces gold equivalent at a cash cost of $694 per ounce of gold and all-in sustaining cost of $1,254 per ounce gold. On a co-product basis, cash costs were $797 per ounce gold equivalent and all-in sustaining costs were $1,330 per ounce gold equivalent. As annotated on the chart, all-in sustaining costs have been notably higher than cash costs since the beginning of 2023, which, of course, is due to K92's significant investment in the Stage 3 Expansion. So costs are expected to decline considerably after delivering the Stage 3 Expansion, which we'll be discussing later in the presentation. The mill throughput for Q3 was 137,172 tonnes, which was in line with budget and at a head grade of 11.2 grams per tonne gold equivalent. With more than 80% of the lower end of annual guidance achieved for the first 3 quarters, plus we ended Q3 with approximately 4,900 gold equivalent ounces in the commissioning stockpile, K92 remains on track to meet its 2025 production guidance of 160,000 to 185,000 ounces gold equivalent. Now in terms of our key operational quarterly physicals, total material mined of 353,770 tonnes was a record and multiple daily tonnes to surface records were also achieved in late September, which demonstrates the increased material movement benefits realized from the commissioning of our first material pass during the quarter, combined with the commencement of surface trucks operating in the twin incline. Total mine development was 2,477 meters. The operation continues to balance lateral development priorities between the completion of key underground projects, including prioritizing of low equivalent lateral advanced jumbo activities such as the Puma ventilation drive and the underground pastefill chamber. Pleased to report that development rates achieved a significant milestone in October, supported by a number of the recently completed infrastructure and operational improvement initiatives. A new record was sent for monthly development totaling 1,028 meters. The first time K92 has exceeded the 1 kilometer per month target outlined in the Updated Definitive Feasibility Study for the Stage 3 Expansion. This achievement is particularly notable given that since June, one jumbo has been offline at any given time for an on-site mini-rebuild program aimed at improving equipment reliability. We're now completing the rebuild of the final jumbo with the completion expected later this quarter. Once finalized, this will effectively increase our active jumbo fleet by one rig, which will further support high development rates going forward. In addition to this, as more key enabler projects are completed, which will be discussed later in the presentation, we expect development and mine physicals to continue to ramp up. Total ore mined during the quarter was 152,485 tonnes, second highest on record, with mining activities across 13 levels at Kora and Judd. Long-hole stoping executed to design. Process grades benefited from a positive gold grade reconciliation versus the latest independent mineral resource estimate. The Stage 2a process plant continued to perform well, exceeding the Updated Definitive Feasibility Study recoveries for the sixth consecutive quarter, achieving 95% for gold and 94.6% for copper, which compares to 92.6% for gold and 94.2% in the Updated DFS. I'll now turn the call over to our Chief Financial Officer, Justin Blanchet, to discuss the financial results for the third quarter.
Justin Blanchet: Thank you, John, and hello, everyone. During the third quarter of 2025, K92 had record quarterly revenue of $177.5 million, an increase of 45% from the same period prior year. We sold 45,006 gold ounces at an average selling price of $3,361 compared to 45,248 ounces at an average selling price of $2,388 in the prior year. As at September 30, 2025, there were 7,913 gold ounces in inventory, including both concentrate and doré, a decrease of 500 gold ounces when compared to June 30, 2025, due to timing of sales. During the third quarter of 2025, K92 had quarterly cost of sales of $43.8 million compared to $41 million in the prior year or $35.5 million compared to $30.7 million when excluding noncash items. The increase in cost of sales was driven by higher underground activity and greater tonnes mined with year-to-date ore mined and processed significantly higher versus the prior year. This is consistent with the higher mining and processing activity associated with the ramp-up of the Stage 3 Expansion. Q3 2025 cash flow from operating activities before changes in working capital was $101.8 million compared to $61 million in the prior year, the highest quarterly increase on record. As of September 30, 2025, K92 had a record $185.4 million in cash and cash equivalents. We had a record working capital balance of $227.8 million, and we had a record net cash balance position of $131.2 million. The company has a loan balance of $55 million as of September 30. K92's receivable balance as at September 30 increased 88% or $39 million as compared to June 30, of which a significant portion was received in the first half of October, resulting in a significant increase to our cash balance subsequent to quarter end. Importantly, the Stage 3 and 4 Expansion projects are fully funded and our financial position is strong. We also have access to a significant amount of liquidity through undrawn credit facilities with $60 million available to draw down on demand plus an additional $30 million of liquidity through an accordion feature. We also would like to highlight that our commodity price downside is protected through the cost-effective purchase of put option contracts, which extend until the end of 2025, allowing for 15,000 ounces of gold per month at a strike price of $3,000 per ounce. Subsequent to quarter end, K92 purchased additional put option contracts allowing for 10,000 ounces of gold per month at a strike price of $3,500 per ounce in 2026. To be clear, this is not a hedge. We will sell at spot if it is higher than $3,000 per ounce in 2025 or $3,500 an ounce in 2026. This is insurance, and we retain full exposure to the upside in commodity prices. As John mentioned, during the third quarter, the Kainantu Gold operations produced 42,244 ounces of gold; 1,323,538 pounds of copper and 34,831 ounces of silver or 44,323 ounces of gold equivalent. We sold 45,006 ounces of gold, 1,480,151 pounds of copper and 43,271 ounces of silver. On a byproduct basis, we incurred a cash cost of $694 per ounce and an all-in sustaining cost of $1,254 per ounce of gold. Our all-in sustaining costs in Q3 was significantly below our net realized selling price of $3,361 per ounce. For the 9 months ending September 30, 2025, our byproduct cash cost per ounce was $669 and our all-in sustaining cost was $1,202 per ounce, both below our 2025 guidance of cash costs between $710 to $770 per ounce and all-in sustaining costs of between $1,460 to $1,560. It is important to note that we will see downward pressure on costs via economies of scale as operations ramp up and the Stage 3 Expansion is complete. I will now turn the call back to John to discuss exploration and growth.
John Lewins: Well, thank you, Justin. Turning to growth and exploration. We begin with an update on the Stage 3 and Stage 4 Expansions, which are expected to fundamentally transform K92 into a Tier 1 mid-tier gold producer. As mentioned earlier, the Stage 3 Expansion process plant achieved its first saleable production in mid-October. The Stage 3 Expansion as outlined in our Updated Definitive Feasibility Study supports a 1.2 million tonne per annum throughput rate producing approximately 300,000 ounces gold equivalent per annum at that run rate. Commissioning of the process plant is nearly complete. Stage 4 is expected to further increase production through expanding the Stage 3 process plant at a low capital cost to 1.8 million tonnes per annum producing around 400,000 ounces gold equivalent per annum, targeting commissioning late 2027. The Stage 2a plant provides additional capacity for future expansion beyond Stage 4. In late October, K92 was pleased to host a large group of analysts and investors for a comprehensive 2-day visit to the Kainantu Gold Mine to see firsthand the major transformation underway on site and to also showcase the mining-friendly jurisdiction of Papua New Guinea. These photos show key parts of the surface and underground site tours, including the new 1.2 million tonne per annum state-of-the-art Stage 3 process plant, as shown on the image on the left and the underground paste silo excavation as shown on the image on the right. On the following slide, as shown on the image on the left, the visitors also toured the primary fan chambers, which is a 15-meter wide by 9.5 meter high excavation, 35 meters long at that profile, tapering off for a total length of 75 meters. The image on the right is from the top of the material pass, which was also visited. More details on these projects will be discussed over the next few slides. We believe the site visit clearly demonstrated the strong momentum across the operation and the significant progress being made on multiple transformation projects that will underpin further growth and productivity gains of Stage 3 and Stage 4 Expansions are delivered. I'll now provide an update on the construction progress of Stage 3 Expansion, which as of 30th September 2025, had seen 90% of growth capital spent or committed and the expansion remains on budget. In terms of the major underground infrastructure transformation, the twin incline is complete. The first material pass is complete, and the Puma vent incline is now within 40 meters of breakthrough. Following the breakthrough of the Puma and the energization of the primary fan system in Q1, the ventilation circuit will be configured to enable both twin inclines to be fresh air intake and therefore, enable highly productive one-way traffic in the twin incline in late Q1 2026. The internal ramp system, which will connect the main mine and all mining fronts to the highly productive twin inclines is advancing rapidly. It's scheduled for completion also in Q1 2026. Upon its completion, combined with the Puma vent drive and the energization of the fan chamber, it will also enable all inclines to transition to a more efficient one-way traffic flow. The twin incline has already begun to transform underground material handling efficiencies as shown on the image on the right versus the image on the left, which is the existing incline to access the main mine since commercial production commenced. The twin incline can run 50% larger trucks than the existing single incline at a much faster speed and will also eliminate rehandling at the portal as surface trucks will haul directly through the process plant from loading in that twin incline. Productivity gains from the twin incline infrastructure will be realized in stages as supporting infrastructure is completed and equipment added. I'm pleased to report that in Q3, we completed our first material pass, leveraging gravity to deliver tonnes approximately 350 meters vertically from the main mine to the highly productive twin inclines. This was further augmented by the introduction of surface articulated trucks into the twin inclines in September. This combination resulted in several daily tonnes to surface records being established, including 5,769 tonnes on September 27 and 6,404 tonnes on September 29. Now that's equivalent to an annualized approximately 2.3 million tonnes per annum. A second material pass, enabling dedicated passes for ore and waste, respectively, is planned for late Q1 2026. As noted previously, with the completion of the Puma vent drive and energization of the primary fan chamber plus the completion of the internal ramp system, both scheduled for Q1, we expect further near-term productivity gains throughout the mine. We're also pleased to report that the Phase 2 ventilation upgrade, which involved the development of 2 large vertical fresh air intake raises has recently been completed, and it has resulted in a notable increase in our primary ventilation airflow, increasing airflow by approximately 30% to now over 200 cubic meters per second. This, in turn, has resulted in a significant reduction in our blasting reentry times to clear the fumes. Work is nearly complete to commission our centralized blasting system to reduce blast initiating time. And once this is complete later this quarter, we plan to transitioning to blasting twice a day from the current once per day. These combined improvements will increase available underground operating hours per day in addition to the operational flexibility gained by firing twice per day. Further reduction in reentry time is expected upon the breakthrough of the Puma, which as noted earlier, is approximately 40 meters from the surface. This is estimated to increase airflow from 200 cubic meters per second to 250 cubic meters per second. Now this, combined with the energization of the fan chamber is expected to result in a threefold increase in primary air flow from current levels to something over 600 cubic meters a second. This air flow is well above the requirement for the Stage 4 Expansion and is designed for life of mine. It could also be further expanded to 740 cubic meters per second through benching of the Puma incline. Currently, as shown in the images, the fans are being installed. The completion of this project is planned for the first quarter 2026. Now the underground mine has recently been further enhanced with the completion and commissioning of the primary power station, which added 8.8 megawatts of generating capacity subsequent to the quarter end. This, of course, is our standby power. This plant is now capable of powering both the process plant and underground mine, delivering improved power reliability and synchronization with grid power to help with power supply stability. This project was successfully completed by our owners' team on schedule and for approximately half the cost of the EPC tender bids, which we received, highlighting just one example of how the construction team has been able to keep Stage 3 Expansion on budget. And since commissioning in mid-October, the operation has seen minimal power disruptions to both the process plant and underground mine, which shows the positive effects of these key infrastructure projects will deliver in terms of minimizing disruptions to increase our mine physicals. We also expect to realize material operating cost benefits from the plant relative to the previous interim power plant configuration as when operating is notably better fuel efficiency. The next phase of expansion of this power station Phase 1 to 10.4 megawatts is planned for completion by the end of the year and a further expansion to 15.2 megawatts which is required for Stage 4 Expansion is planned to be completed first half of 2026. In addition to completing various infrastructure enablers for the expansion, mine development continues to open up 2 new fronts, the twin incline and the lower Kora with 5 and 4 new sublevels being opened up, respectively. Both fronts are expected to be notable contributors to production in 2026. It's important to highlight that for years, K92 has prioritized waste material movement to open up the mine through developing sublevels, twin inclines, internal ramps and mine infrastructure. The plan maps shown are levels from the lower Kora mine front or front #2 on the previous slide, which show not only extensive development completed today over multiple levels but that we have not mined a single long-hole stope yet from this front. Importantly, this means we have developed a significant amount of stoping inventory ahead of our expansion. The area in the red ellipse, which is the K1 vein, where development is well advanced on approximately 250,000 tonnes of long-hole stoping ore. It's a similar case at the twin incline. We plan to commence production of highly productive long-hole stoping in first quarter 2026 at the lower Kora front and late first quarter 2026 at the twin incline front, and these will be key drivers in the ramp-up of ore tonnes. I think it's also important to note we have already demonstrated production rates of over 500,000 tonnes per annum from a single mining front on the main mine. In addition to the completion of key enabler infrastructure projects and expansion to the number of mining fronts, we've made considerable investment in technology and equipment. On the left is our surface operated tele-remote system, which leverages our underground fiber optic backbone to operate loaders from surface, including during shift change and reentry to allow up to 24-hour operation per day. Concurrently, a significant amount of new equipment is expected to arrive between now and the end of 2026, including 4 new loaders between now and June, of which 2 are replacement and 2 are additional units, 2 new haul trucks as replacement around midyear next year. A new development jumbo to add our fleet around midyear next year, plus 2 explosive loading rigs, 1 cement agitator and 1 production drill rig. The fleet of surface trucks is significantly expanding for operation in the twin incline with 8 new 60-tonne trucks planned to arrive in 2026. The first batch of 6 arriving in the first quarter. Recently, 5 new 30-tonne haulage trucks arrived on site are being used initially to augment haulage from the twin incline ahead of the arrival of the 60-tonne trucks and the upgrading of the river crossings. These trucks will then be repurposed to haul filter cake to the pastefill underground later in 2026. These trucks are planned to be owned and operated by one of our local joint venture contracting companies. This substantial fleet investment ensures that we have adequate capacity to meet not just Stage 3 Expansion but also Stage 4 Expansion equipment requirements. Commissioning of the Stage 3 Expansion process plant is nearly complete. First ore was received in September, first saleable concentrate produced and shipped in mid-October. As noted earlier, we held an official inauguration for the process plant on October 16. The Stage 2a process plant has now been idled and is available to be reactivated, if required. We expect to have commissioning the new plant completed later this month and hand over to operations. In terms of ancillary buildings, the interim power station warehouse Kumian Creek camp and primary power station are all complete. The maintenance facility which is a low priority and is not on the critical path for Stage 3 is targeting completion late Q1 2026. In Q3 2025, significant progress was made on the surface pastefill filtration plant, surface storage facility and underground pastefill plant packages. The surface pastefill filtration plant civil works are progressing as shown on the image on the left and are benefiting from a recent shift to both day and night shift operations. Site establishment is being completed for the surface storage facility with earthworks underway as shown on the image on the right. Major excavations of the underground pastefill plant are approaching completion with planned handover to the projects team this quarter. Detailed engineering now complete. All long lead items for all packages are either ordered or are now on site. Commissioning is expected to commence in mid-Q1 2026 with practical completion of the full pastefill circuit scheduled for mid-2026. Substantial progress has also been made on the surface haul road and river crossing project during the quarter. This project enables the surface truck payload to increase from current 20 tonnes to 60 tonnes while also improving cycle times. It involves upgrading 3 river crossings together with widening, straightening and gradient improvements of selected areas to improve haulage efficiency and payload. Phase 1 which is focused on river crossing upgrades and haul road widening to enable higher capacity 60-tonne trucking fleet to operate is on track for completion by late Q1 2026. Phase 2, which is focused on road alignment and grading improvements in select areas of the haul road is scheduled for completion by Q4 2026. Now in terms of exploration, we're drilling at Kora, Kora South and Judd, Judd South systems from underground with 6 rigs plus we have 5 surface rigs drilling at the Arakompa vein system and 1 rig drilling at Wera. At Kora, drilling is underway at Kora Deeps, Kora North and Kora South Deeps with access to the deeper zones enabled by the twin incline and the 1205 Level drill drive. As shown in the annotated intersections, we continue to extend high-grade zones, define dilatant zones and step-out mineralization from our drill program. Over the next 12 months, our step-out program is predominantly focused on Kora Deeps down to the 500-meter RL level as shown in the green rectangle. Drill drives and step-out drilling to the south are also planned. At Judd, the vein system remains significantly underexplored and open in all directions. Recent results have continued to expand the high-grade zone as shown in the selected annotated drill results. Over the next 12 months, like Kora, step-out drilling will focus on depth extensions as shown in the green rectangle in addition to southern step-out drilling. As shown from our initial drill results at depth, the system remains thick and well mineralized. Exploration activity at Arakompa vein system located approximately 4.5 kilometers from the Kainantu process plant continues to advance rapidly. Drilling is now supported by up to 5 active rigs and the deposit has grown substantially in both scale and geological understanding. As shown in the graphic, recent drilling has expanded the Arakompa bulk tonnage zone to approximately 1.1 kilometers in strike and 800 meters vertically with an average true thickness of 39 meters. The bulk zone remains open in multiple directions and continues to demonstrate strong potential for large-scale near surface bulk mining. The latest key intercepts include 96 meters at 2.6 gram per tonne gold equivalent and 62 meters at 1.1 gram per tonne gold equivalent. We're also excited about the discovery of the porphyry style copper gold mineralization in drill hole KARDD0065, stepping out 250 meters to the south from previous drilling. This was our first hole testing a 600-meter by 600-meter copper-in-soil anomaly and an intersected 690 meters at 0.3% copper equivalent including 395 meters at 0.38% copper equivalent within the 600-meter by 600-meter copper-in-soil anomaly. The intersection is interpreted to be distilled to a potassic porphyry core and marks the first porphyry style mineralization identified at Arakompa, a highly prospective target for ongoing drilling. This step-out discovery reinforces Arakompa's scale and strengthens our understanding of the project as a large integrated system linking high-grade vein mineralization with potential underlying porphyry center. Our latest drilling also continues to define the high-grade AR1 and AR2 loads along strike and at depth confirming continuity within the broader Arakompa system. We're also seeing the emergence of a potential high-grade thick zone, highlighted by standout intercepts, including 7.1 meters at 27.9 grams per tonne gold equivalent, 14.5 meters at 17.3 grams per tonne gold equivalent and 20.6 meters at 9.9 grams per tonne gold equivalent. Together, these results demonstrate strong vertical continuity of up to 200 meters at a substantial true thickness of 7.3 meters, reinforcing the potential for a high-grade core within the Arakompa system. Arakompa has advanced incredibly quickly, increasing from just 2 holes reported in early 2024 to 67 holes reported and 5 drill rigs currently operating. The rapid expansion of the drill program reflects both the exceptional results received to date and the scale of the system with mineralization continuing to extend along strike and at depth. We remain on track to deliver a maiden mineral resource for Arakompa first half of 2026. Now in addition to Arakompa, we've begun drill testing the newly discovered Wera vein system, a large 3.5 by 3.5 kilometer low-sulphidation epithermal gold system located approximately 10 kilometers southwest of Kora and Judd. The maiden exploration program focused on rock chips and trenching outlined multiple mineralized structures with numerous high-grade samples, including assays up to 26.3 grams per tonne gold. Importantly, this area has never been accessed or tested by previous operators and lies within the same mineralized corridor that hosts Kora, Judd and Arakompa. We're very encouraged by the potential of this new greenfields discovery and look forward to results from our maiden scout drill program. Lastly, we highlight the significant pipeline of highly prospective exploration targets. The colored icons indicate a current exploration focus, and the black icons indicate where we plan to drill in the next 24 months. In the near term, drilling is planned at the historic Maniape target located approximately 1.5 kilometers west of Arakompa and at the Mati, Mesoan target situated within 1.6 kilometers of the current mine workings. Both programs will utilize a new small footprint heli-portable drill rig scheduled to commence drilling in late 2025 to early 2026. These targets represent the next phase of near-mine exploration designed to expand our understanding of the broader mineralized system and potentially extend non-mineralization corridors. Upon delivery of the Stage 3 Expansion, we expect not only a major inflection in our production and free cash flow, but a significant ramp-up in our exploration budget, aiming to progress many of these highly prospective targets concurrently. Two additional surface rigs have been ordered and commissioning is scheduled for Q1 2026 for future ramp-up. With up to 5 rigs turning at Arakompa, 1 rig at Wera, 6 rigs focused on expansion of Kora and Judd underground, K92 is well positioned to close out another successful year of exploration. In summary, Q3 2025 was another strong quarter for K92 from an operational, financial, projects, exploration and safety perspective. We're fully funded through the expansion via our record net cash balance and mine cash flow. We're tracking well to our 2025 operational guidance, and we are confident that we will continue the positive mine physicals momentum for the remainder of the year and into 2026 as we realize the benefits of the delivery of a number of key underground infrastructure and operational improvement projects. With that, operator, we'd now like to commence the Q&A session.
Operator: [Operator Instructions] The first question today comes from Harrison Reynolds with RBC.
Harrison Reynolds: Congratulations on a strong quarter, K92 team. Great to see the significant progress and momentum being made on site firsthand back in October. Just a couple of questions from me. First, wondering if you could talk about cost performance and sustaining capital spend. It's good to see ASIC below expectations and the guided range again. But wondering if you could talk about your expectations for sustaining capital spend in Q4 and maybe into early next year and sort of separate what percentage of this performance has been based on cost control and things coming in under budget versus what's capital just yet to be spent.
David Medilek: Yes. Thanks, Harrison. I'll jump in for this one, John's flight arrived late this morning. So in terms of sustaining capital, we expect it to be elevated in Q4 and also going through 2026. There's a few reasons for that. One, as you saw in the presentation is the haul road upgrade. The river crossings are growth capital for the Stage 3 Expansion. The haul road upgrade is sustaining. And that work will go through 2026. A large part of that gets done in the first half of 2026, but there is a component for certain parts of the haul road, select areas that do get upgraded in the latter part of 2026. The other thing I'd like to flag is the lateral advance. We've obviously ramped up the lateral advance, delivered a development record in October, and we're certainly looking to build on that, not just in Q4, but in 2026 as we continue to ramp up, ultimately targeting the 1.2 kilometer per month rate that's required for the Stage 4 Expansion. Just on the input cost, we have done a good job in terms of the input costs. If you look at labor, if you look at fuel, if you look at power, there's obviously the opportunity for economies of scale with the improved material movement rates that you will get in Q4. So in terms of both ASIC and cash cost guidance, we certainly are looking well for the remainder of the year.
Harrison Reynolds: That's good to hear. And maybe just switching gears, looking forward to the Arakompa resource next year, and I appreciate all the details in the prior remarks. And just it's early days still and -- but it might be interesting to hear the latest thoughts on how soon this could be an ore source for the Stage 2 mill and sort of what the focus following the resource will be whether that's continuing to step out and understand the scale and size of this deposit or derisking it and trying to get it in the reserve category and putting it into the mill as soon as possible.
David Medilek: Yes. Thanks, Harrison for that question. Arakompa is a very exciting prospect for us. There are 2 kind of projects within the project. There is the high-grade vein system component with the AR1 and AR2, which you have seen from the results, and John went over that in the conference call. What you do see is still a requirement for greater drill density to really define these high-grade areas. Many of the drill holes are in spacing of excess of 100 meters. And there are some areas where we have tightened the spacing, and we've gotten some really good results. One is that discrete high-grade thick zone that was highlighted in the presentation. We are looking at, as we do step out to the north there is a change in host rock to the same host rock as Kora and Judd. So we are quite intrigued by what that could mean as we get closer to that artisanal working that was highlighted on the plan view. So there certainly is this high-grade vein system potential, which is a logical source for the Stage 2a plant, but it ultimately requires more drilling to firm that up. And then there clearly is a bulk project, which we continue to define. The thing that I'd like to point out here is we see the project that's potentially beyond Arakompa as an Arakompa and Maniape. When you look at Maniape, similar host rock and the historic drilling does show really real similarities between Arakompa in terms of both having bulk intercepts and high-grade vein potential. So we are excited about what we have at Arakompa. We'll see where we get to in terms of the first half of the year 2026, where we are targeting a resource. It certainly has a potential to be a higher-grade feed for the Stage 2a, but we certainly have to let the drill bit play out here.
Operator: [Operator Instructions] There are no further questions at this time, which concludes our question-and-answer session. I would like to turn the conference back over to David Medilek for any closing remarks.
David Medilek: Yes. Thank you, everyone, for joining us today and for your continued interest in K92 mining. We're very proud of the progress achieved this quarter, both operationally and financially. I'd also like to take a moment to thank our employees, contractors and partners for their hard work and dedication and also various levels of government and our communities for their ongoing support. If you have any further questions following today's call, please do not hesitate to reach out to our Investor Relations team. Thank you again for joining us, and we look forward to updating you on our continued progress next quarter.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.